Operator: Welcome to the Ondas Holdings Inc. First Quarter 2025 Conference Call. All participants will be in listen-only mode. [Operator Instructions] Before we begin, the company would like to remind you that this call may contain forward-looking statements. While these forward-looking statements reflect Ondas' best current judgment, they are subject to risks and uncertainties that could cause actual results to differ materially from those implied by these forward-looking statements. These risk factors are discussed in Ondas' periodic SEC filings and in the earnings press, release issued today, which are both available on the company's website. Ondas undertakes no obligation to revise or update any forward-looking statements to reflect future events or circumstances, except as required by law. During this call, Ondas will refer to certain non-GAAP financial measures. These non-GAAP measures are not prepared in accordance with generally accepted accounting principles. A reconciliation of the non-GAAP financial measures to the most directly comparable GAAP measures is shown in our press release issued earlier today, which is available at the Investor Relations section of our website. This non-GAAP information is provided as a supplement to, not as a substitute for, or as superior to, measures of financial performance prepared in accordance with GAAP. However, management believes these non-GAAP measures provide investors with valuable information on the underlying trends of our business. Please note this event is being recorded. I would now like to turn the conference over to Eric Brock, Chairman and CEO. Please go ahead.
Eric Brock: Thank you, Operator, and good morning. I want to get started by welcoming you to our quarterly conference call. We appreciate you joining us today and for your continued interest in Ondas. I'm happy to be joined today by key members of our leadership team, including Neil Laird, our Interim CFO, Oshri Lugassy, the Co-CEO of Ondas Economic Systems, and Markus Nottelmann, the CEO of Ondas Networks. So, let's now turn to the agenda. I will begin with a review of our key highlights from the first quarter of 2025. I will then hand the call to Neil for a financial review of our Q1 2025 results. We will then provide a business update for our OAS and Ondas Networks business units, where I will ask Oshri and Markus to provide commentary around current business activity and the progress we are making on our business plans. I will then provide an outlook for the remainder of 2025, where we continue to anticipate a record year of revenue growth, primarily driven by OAS. We will then wrap the call and open the floor for investor questions. Let me start by saying we have a very positive story to tell today. As you're well aware, we have worked extremely hard over a long period of time to build the exceptional capabilities represented by our technology platforms across both OAS and Ondas Networks. Not only that, we have also worked to both demonstrate their value to our customers and begin to drive adoption in the large critical markets we are addressing. These efforts are beginning to pay dividends in very tangible ways, indeed, in ways that you, as investors, can measure. With this backdrop, Ondas entered 2025 with strong momentum, especially with Ondas Autonomous Systems. We put up a strong quarter from both a growth and operational standpoint, further accelerating our multiyear growth plan, which is also being supported by growing global tailwinds in demand for our Autonomous Drone platforms. As we will outline, we are expanding existing customer programs and securing new programs with new customers across the world. In Q1, we generated $4.2 million in revenue, primarily driven by execution against the $10 million backlog we began 2025 with. We also secured more than $9 million of additional orders year-to-date, further growing our backlog to $16.8 million. In addition, we have strong visibility on a number of additional orders for both Iron Drone and Optimus that are likely to further increase our backlog by the end of the second quarter, as well as during the second half of 2025. With this momentum in a growing order pipeline, we are reaffirming our full year revenue goal of at least $25 million for 2025, with at least $20 million to be generated by our OAS business unit. OAS continues to deliver against existing customer programs while expanding its presence with new defense and homeless security customers across Europe, the Middle East, and the U.S. Notably, our Iron Drone radar system is now operational status as a best-in-class, low-collateral counter-UAS platform. The Iron Drone demonstration team, which we launched in February, has been successfully engaging customers, and these marketing activities are generating significant new demand, supported by the Iron Drone's real-world combat readiness. We are actively investing behind the Iron Drone expansion to support the scaling of this platform with customers. As we talk further about specific customers, orders, and backlog, I want to take a moment to remind our investors that certain customer activities at OAS can be sensitive or even classified in nature. This is obviously true for many of our defense and homeless security customers, but this can also be the case with certain commercial customers as well. As a result, we need to be sensitive to this while being as transparent as possible on our business development progress, understanding this constraint. With that said, I am happy to report today that we are announcing our third customer for Iron Drone with a $1.7 million order. This is a governmental customer that will deploy Iron Drone for border security. This newly announced customer today for Iron Drone is in addition to the initial order from a European governmental entity in NATO member country we announced a few weeks ago, whereby the Iron Drone radar is being deployed to protect critical locations. These new customers are demonstrating the global opportunity for Iron Drone as we pursue our strategy to establish a platform as a category leader for low kinetic CUAS threat mitigation. These new customers also mean we have met our initial goal of adding two new military or homeless security customers in 2025. In addition to our initial military customer, we secured in the second half of 2024. With proper execution, we will be able to expand these new Iron Drone customer programs with future orders. I want to add that with our new customer goal met for 2025, we now also expect to add even more military and homeless security customers this year beyond these initial two. The Optimus Drone fleet in the UAE for DFR use continues to expand under the Drone Box program with new deployments supporting public safety missions in urban environments. We expect additional growth in 2025 for Optimus, including with existing customers, as well as new customers, including those in the United States where we are pursuing important business. At Ondas Networks, we made meaningful progress, which included the selection of dot16 by the Association of American Railroads, or the AAR, as a communications protocol standard for the Next-Generation Head of Train / End of Train or NGHE system. This validates our long-term strategic efforts and positions us for commercial adoption for rail networks across the 900 MHz, 220 MHz, and 450 MHz frequency bands. In addition, the 802.16t standard for which we created the design in critical software-based intellectual property was formally ratified by the IEEE committee last week. Recall that the AAR and its railroad members were actively involved in designing the requirements for the dot16t standard. This is another marker of success for Ondas and was especially gratifying given the rigorous work of our team and the leadership we have displayed to drive this new standard on behalf of our customers and the rail vendor ecosystem. Lastly, while the 900 MHz deployments remain slow, we are seeing encouraging signs with key customers actively running small-scale, critical, live network deployments, and we are also integrating new IP-based applications, which we believe will result in additional system sales over time. Of course, Markus will share more details later in the call. Overall, we are executing well against our strategy, expanding our production and service capabilities to scale with demand, deepening customer relationships, and positioning Ondas for sustained growth throughout 2025 and into 2026. I will now hand the call to Neil to provide a detailed financial update. Neil?
Neil Laird: Thank you, Eric. As I get started, I want to remind our investors that our financial statements reflect the early stage of platform adoption for both Ondas Networks and OAS. We expect significant operating leverage as revenues grow, though today's revenue levels do not yet cover our operating expenses. For Ondas Networks, revenues will fluctuate from quarter-to-quarter, given the uncertainty around the timing of customer activity in front of the targeted commercial rollouts in the 900 MHz network and the development programs underway with Siemens and MXV rail. Similarly, revenues at OAS are expected to vary from quarter-to-quarter and to normalize into a more predictable pattern as we grow our customer base and more of those customers enter fleet programs and recurring service agreements. Revenues increased over 500% to $4.2 million in Q1 2025 from $0.6 million in Q1 2024. Revenues from Ondas Networks were $0.2 million, relatively flat compared to $0.3 million from Q1 2024 and were primarily the result of extended timelines related to 900 MHz field deployments with the Class 1 railroads. OAS revenues were $4.0 million, an increase of over 600% from Q1 of 2024. This increase reflects the shipment of products and services from the $14.4 million orders, primarily related to the two new programs secured with a military customer in the third quarter of 2024. We also recognize revenues from additional deployments in the United Arab Emirates. Gross profit was $1.5 million, representing a 35% gross margin in Q1 2025 as compared to a $0.4 million gross loss in Q1 of 2024. The increase in gross margins year-over-year results from increased higher margin product revenues at OAS compared to lower margin service and subscription revenue in Q1 2024. Gross margins can be volatile on a quarter-to-quarter basis due to revenue levels that reflect the early stages of platform adoption, certain fixed service costs reflected in our cost of goods sold, and shifts in revenue mix between product development and services revenue. Operating expenses increased to $11.8 million for Q1 2025 as compared to $8.7 million in Q1 of 2024. Cash operating expenses were $9.0 million in Q1 2025 compared to $7.3 million in Q1 2024. The increase in cash operating expense was the result of investments in headcount and programs at OAS to support the business growth we discussed above. Operating expenses also increased because of additional stock compensation expense. The operating loss was $10.3 million for Q1 2025 as compared to $9.1 million for Q1 2024. Adjusted EBITDA loss was $7.5 million for Q1 2025, improving slightly from the $7.7 million loss in Q1 of 2024. So now let's turn to the cash flow statement. We held cash of $25.4 million as of March 31st 2025 compared to $30 million as of December 31st 2024 and $14.6 million as of March 31st 2024. The increase from March 2024 reflects the financing received during the last 12 months that's cash used in operations. Cash used in operations during Q1 of 2025 decreased slightly to $6.7 million compared to $7.5 million for Q1 2024. As we saw improved cash collections from the orders received and shipped in 2024 and early 2025. We also received cash from financing activities of $2.3 million including proceeds from warrants exercises, government grants and other financing. We expect cash utilization to continue to improve in 2025. Improved cash efficiency comes from operating expense leverage at our OAS business unit given our expectation of increased revenue and gross profit over the course of 2025. The company expects to fund its operations from the cash on hand of $25.4 million as of March 31st 2025. Gross profits generated from revenue growth, potential pre-payments from customers for purchase orders, potential proceeds from warrants issued and outstanding and additional funds if needed that the company may seek through equity or debt offerings and or borrowings under existing notes of additional notes payable lines of credit or other sources. Turning to the balance sheet, again, we held cash of $25.4 million as of March 31st 2025 compared to $30 million as of December 31st, 2024. As of March 31st, 2025, Ondas Holdings had $25.4 million in convertible debt outstanding, down from $44.6 million as of the end of 2024, reflecting a significant conversion of our outstanding convertible notes into equity. We're pleased to say that during the second quarter to date, we have seen further debt reduction via a conversion of convertible notes to equity, and our outstanding balances on the convertible notes as of today have been reduced to $20.6 million. This debt reduction included conversion of notes that were due to mature at the end of April. Of course, we plan to support the conversion of these remaining notes to equity before maturity. And I will now hand the call back to Eric.
Eric Brock: Thank you, Neil. While the debt conversions Neil highlighted added more shares to the share count than we would have liked, the reduction in debt at the holding company is a significant positive, in my opinion. With that context, I thought it would be helpful to spend a few minutes here to dig a bit more into our cap table. As you are aware, significant funding of our growth plan has come from the raising of capital through convertible notes. Since October 2022, we have raised $70 million in cash, which represented $80.5 million in convertible notes due when including original issue discount or OID. This $80.5 million includes the $34.5 million of notes that were invested at the end of 2024, just last December. While these notes have fixed conversion prices, they also have a feature that allows for monthly amortization whereby they can be converted into shares at a conversion price calculated using a discount to a VWAP measure if the VWAP is below the fixed conversion price. While the terms of the notes are fully disclosed in our SEC filings, we are providing some additional context to help investors calculate the potential additional shares to be issued to satisfy the balance of the outstanding convertible notes. But first, let's discuss the increase in share count from 93.2 million to 137.4 million during the first five months of 2025 year-to-date. Note that the bulk of the shares, as we show here, are related to the conversion of the convertible notes, which include unamortized discounts and accrued interest. The average conversion price for these additional shares was approximately $0.68. The low conversion price was unfortunate in a function of a significant decline in our share price despite what we believe is a significantly improving company fundamentals. It is management's view that market-related factors exacerbated pressure on our shares and resulted in Ondas issuing more shares due to the conversion than we may have otherwise. Going forward, we anticipate the conversion of the remaining $23.8 million of outstanding notes, which includes unamortized discounts and accrued interest into additional shares. We have shared the maturities and conversion prices here on this slide for your information. The best outcome, of course, is for the shares to appreciate above the fixed conversion price. If this happens, we will issue another 18.7 million shares, as depicted here, to eliminate the debt. Of course, if the shares are below the fixed conversion prices, the incremental shares issued upon conversion using a conversion price calculated with a discount VWAP method would result in more shares being issued above the 18.7 million described within. We encourage investors to perform their own analysis, and we are merely sharing this perspective to provide additional tools to help you make your own assessments. Now we will transition to a review of our business units and ask Oshri and Markus to share updates on business development activity and operations at Ondas Networks and OAS. As a reminder, both Oshri and Markus took the reins as CEOs of their respective business units during the first quarter of 2025. Both are highly experienced and bring exceptional and relevant talents to their leadership positions. I am pleased with their performance and believe they will be highly successful, driving growth for our companies. Markus will now provide an update on our business activity and the outlook for Ondas Networks. Markus?
Markus Nottelmann: Thank you, Eric. 2025 has been an exciting year so far for Ondas Networks, and I'm happy to join the call and update our investors on some important developments. On April 11, the Association of American Railroads Wireless Communications Committee announced that dot16 has been selected as the communications protocol for all future head-of-train and end-of-train devices. This is not only an important milestone in the development of the NGHE 4.0 specifications, but also a significant endorsement of 802.16 technology in the railroad operating environment. The Wireless Communications Committee made its decision after a rigorous technical evaluation and competitive technology comparison at the AAR's MXV Research Facility in Colorado. We were pleased to see that our capabilities performed as strongly as they did as the industry continues to see the dot16 technology platform and Ondas as the leading capability to upgrade private wireless networks in the railroad sector. I would like to take this opportunity to thank both the Ondas and MXV technical teams who put a lot of time and energy into getting us to this point. With the NGHE communications protocol selected, the remaining NGHE 4.0 specifications now will be finalized. This effort is being led by MXV, and we expect that the full specifications will be complete by the end of this year. In anticipation of the final specifications, which primarily relate to end-of-train device functionality, we are proactively engaging with head-of-train and end-of-train device manufacturers to be in a position to commercialize next-generation head-of-train devices in early 2026 and end-of-train devices shortly thereafter. Last week, the Institute of Electrical and Electronics Engineers, or IEEE, formally ratified 802.16t, the latest iteration of the dot16 standard. Securing the dot16 standard was a multiyear process that took a tremendous amount of energy and talent from many people at Ondas and throughout the ecosystem. Further, this standard has been tailored to the unique requirements of private industrial wireless networks, particularly for the needs of the Class 1 railroads who collectively operate continent-wide wireless networks supporting critical operating and safety systems, enabling the efficient and safe operation of trains. I would like to use this opportunity to thank the Ondas Networks engineering team, as well as many of our Class 1 partners who contributed to the development of this standard. dot16t represents a significant improvement in throughput and latency, which further underscores the benefits to be gained by converting legacy narrowband networks to dot16 general purpose networks. The ratification of dot16t solidifies dot16's role in NGHE and the 900 MHz transition, and more importantly, it opens the door to addressing the capacity issues that Class 1 face in other networks, including, of course, the strategically important 220 MHz and 116 MHz networks. We continue to work closely with our partners in the railroad industry on delivering existing projects, as well as on developing solutions for longstanding needs. I am pleased that certain 900 MHz deployments are proceeding as expected, demonstrating continued progress on what we believe will ultimately be wide-scale adoption of dot16 in this greenfield network. Metra, Chicago's regional transit authority, placed a follow-on order for 900 MHz equipment with our partner Siemens to ensure system-wide coverage. Metra's plans call for system-wide deployment to be completed in September 2025. We have also been working closely with customers on 900 MHz applications, including the integration of PTC messaging currently hosted on the 220 MHz band. This will allow railroads to use 900 MHz as either a primary or secondary network for CTC and PTC operations. This testing is proceeding well, and we expect our partner Siemens to receive an additional order from a Class 1 railroad to equip an entire subdivision with 900 MHz equipment. A subdivision-wide deployment opens the door to division and network-wide deployments on the Class 1 as well as others for the same use case. With another Class 1, we are developing additional specific use cases for 900 MHz equipment in dark territory operations. Once fully demonstrated, we expect these use cases to be relevant to other Class 1 operators. In the 220 MHz spectrum, we continue to execute on the PTC data radio on behalf of Amtrak. We expect to start delivering PTC radios in early Q3. Once the Amtrak work is complete, we expect a rollout to other operators in the Northeast Corridor. As data-intensive IoT solutions are becoming more prominent on Class 1 railroads, the need for data transmission increases significantly. Ondas Networks is engaging with several Class 1s on solving long-standing data transmission needs. Our work on dot16 and our industrial wireless communications capabilities and expertise put us in an excellent position to partner with our customers and rail vendors to develop solutions with long-term viability. We will keep the investor community informed as we commercialize these efforts. I will now hand the call back to Eric.
Eric Brock: Thank you, Markus. I will now ask Oshri Lugassy to take the floor and provide a business update for our OAS business unit. Oshri, please proceed.
Oshri Lugassy : Thank you, Eric. Ondas Autonomous System entered 2025 maintaining strong momentum, particularly in the defense and homeland security sector. We generated $4 million in revenues and secured over $9 million in order year-to-date. We have been working closely together to accelerate the building of OAS into a leading provider of next-generation defense and security technology platforms. Our core focus is delivering tactical solutions based on software-defined autonomous aerial systems supported by our deep engineering capabilities and our ability to operate across both U.S. and allied defense ecosystems. While I will elaborate on our go-to market progress in the following slides, I want to highlight that our strategy is demonstrating success that is evidenced by the ongoing business development growth we have demonstrated so far in 2025. In January, we received an order from a major defense company for the integration of new applications into the Iron Drone Radar system. This includes testing and development of features designed to counter ground-based threats. This will be a new use case for the Iron Drone platform and we will have more to say on this at a later date. Recently, we have secured two initial multi-million dollar orders for the Iron Drone Radar from major customers. At the end of Q1, OAS secured a $3.2 million purchase order from a governmental entity in the UAE to extend its Optimus Drone network infrastructure. This supports the ongoing development of autonomous aerial services under the UAE's Drone Box program, enabling rapid response, public safety, and emergency operations in urban environments. Since then, we have added two new Homeland Security customers for our Iron Drone platform. In April, we announced we had secured a $3.4 million order from a European defense contractor to deploy Iron Drone on behalf of a NATO member country to protect critical locations. And as Eric highlighted in his opening remarks, today we announced that we secured non-US governmental customer for Iron Drone related to border security. These two new Iron Drone customers are important milestones demonstrating the strong market position for Iron Drone in the global markets. We are pursuing an opportunity to position the radar as the market leader for the low-kinetic counter-UAS mitigation capabilities. As part of our UAS expansion efforts, we formed a strategic partnership with Palantir Technologies, which began with the integration of their Foundry AI platform to support the scaling of OAS supply chain production and field operations. We expect this relationship to expand and drive AI-enabled product innovation around advanced autonomy capabilities as well as business development opportunities. We also announced a strategic partnership with Volatus Aerospace to enhance border surveillance and situational awareness through the use of our autonomous aerial systems, where we are together targeting specific market opportunities and split programs. The new customers and industry partners we have announced highlight OAS' growth potential in global defense and security markets. They reflect our strategic advantages, enabling us to work closely with government agencies, security forces, and the defense and security ecosystem to deploy mission-critical solutions where they are needed most. I'd like to take a moment to revisit our go-to-market strategy as we continue advancing the expansion of OAS across global defense and security markets. Ondas offers functional, field-proven, and highly reliable software-defined drone solutions built to meet the most rigorous and complex operational requirements. These built-for-purpose systems are in demand across both security-related government applications and high-value civil and commercial use cases. According to recent industry research, these markets represent a multi-billion-dollar opportunity and are expected to continue growing significantly over the coming decade. And we evaluate the global defense and security market for our Optimus and Iron Drone-based solutions, we see significant upside, even under conservative assumptions, with limited disruption focused on specific applications and targeted customers. A combined total addressable market for both systems specific to just defense and HLS markets represents a multi-billion-dollar opportunity, particularly in areas like border protection and the safeguarding of military assets. We are seeing strong global demand for Iron Drone radar as nations seek multi-layer kinetic counter-OAS solutions. Our system stands out as combat-ready and built for real-world deployment. In 2025, we are scaling global demos for Iron Drone and Optimus, targeting major defense and HLS customers across Europe and other key regions, which is leading to more and more customer and partner pipeline activity. We are also building partnerships to support localization, integration, and go-to-market execution, especially in the U.S. and Europe. Finally, we are advancing U.S.-based manufacturing plans to align with defense procurement priorities and strengthen our supply chain. In conclusion, OAS is executing with urgency and discipline, securing customers, building scale, and advancing strategic partnerships that support our long-term growth objectives. I am confident in our trajectory and excited about the opportunities ahead in 2025 and beyond.
Eric Brock: Thank you, Oshri. In short, the growth model for OAS is to firstly capture programs of record and then expand those programs. In parallel, we use that experience and market validation to add new customers via new programs and then expand those in a similar manner. The net result, a growing customer and program base with expansion that generates recurring business activity across more and more customers and programs. We believe this growth curve will be significant and look forward to delivering on this expansion over the course of 2025 and then again in 2026. So, let's dig into the outlook. As I said at the outset, this is an exciting time for Ondas. We are executing against a clearly defined multiyear growth plan. Our strong start to 2025 confirms that the foundational work we've done across OAS and Ondas Networks is converting into measurable business momentum. We continue to believe 2025 will see accelerated growth, leveraging the business momentum we have created over the last several quarters. Our key objectives at OAS continue to include driving growth through the expansion of our ongoing Optimus and Iron Drone programs with our current military and public safety customers, ensuring successful deployments and further customer adoption. We also plan to expand new customer programs, particularly in the defense and homeland security sectors, and aim to secure additional military customers through both government channels and direct marketing. Indeed, on our last call, we said we wanted to capture at least two new defense or homeland security customers this year, and we have now done that with the recent Iron Drone customer announcements. We now believe we can add more of these customers via programs this year and have increased our goal from two to four new military or homeland security customers for the full year 2025. Growing our partner ecosystem will be critical to support not just global sales and marketing, but also field support and sustainment, as well as supply chain and production activities. Localizing our business with the support of partners is integral, and we are seeing growing engagement from large defense and homeland security vendors interested in working with Ondas and our OAS business unit. We expect to establish at least two new important partner relationships in 2025 to add to the Palantir Technologies and Volatus Aerospace partnerships we announced earlier this year. On the financial side, the maturing of our technology platforms and operational plans is driving meaningful results for our revenue and growth outlook. The financial metrics we share here reflect both business units, with the bulk of the growth, of course, being driven by OAS in 2025. As these targets demonstrate, we are clearly making the transition to building a healthy and growing company and driving a path to profitability, firstly at OAS, with Ondas Networks profitability still leveraged to the launch of a network build-out by the Class I railroads. We are reaffirming our target for at least $25 million in revenues for 2025, led by OAS, which is expected to deliver at least $20 million in sales this year. The visibility on this growth outlook is increasingly supported by a growing backlog, which now stands at $16.8 million, including both business units, and an expanding and maturing customer pipeline. We expect the backlog to grow further in 2025 beyond these levels with new orders, while also growing our revenues as described. We expect this growth to be sustained or even accelerated into 2026. Quite clearly, we believe we are demonstrating a transition to a strong and sustained growth period, which will leverage the significant investments we have made in developing our technology platforms and end markets. To sum it up, we are executing our vision to scale Ondas, and I continue to believe 2025 will be a breakout year. Before we wrap up, I have some final comments to share. Firstly, as we announced this morning, Joe Popolo will be stepping down from the Ondas board as he takes on new responsibilities connected to his nomination to the U.S. Ambassador to the Kingdom of the Netherlands. On behalf of our board, our team, and our shareholders, I want to thank Joe for his dedicated service and exceptional leadership during a pivotal time in Ondas' growth. Joe brought valuable perspective to the boardroom, guidance to our leadership team, and played an important role in helping direct our strategy as we scaled our operations and pursued major market opportunities. While Joe will be missed, I expect his successors at the Charles and Potomac Group to remain important and engaged investors in Ondas, and we are excited for the impact he will make on behalf of the citizens of the United States. We are proud of his appointment and wish him great success in this important role serving our country. Joe, thank you again from all of us at Ondas. Secondly, I want to provide some context into our filing for a $225 million shelf registration. We believe having a shelf registration statement on file is part of a responsible corporate financial strategy. While $225 million is certainly large relative to our market capitalization, I do not believe it is large relative to the opportunities we have in front of us in the coming years. We continue to believe that there are billions of dollars of market capitalization available for companies like Ondas focused on capitalizing on the emerging investment cycle we are seeing in defense and security markets globally. So the shelf registration statement gives us the required flexibility to invest behind this investment cycle as we grow a large and important company. I want to be very clear. We will be sensitive to our cost of capital, which of course is the inverse to our stock price. While the share price is low, we need to be extremely sensitive to that, and we will be. As I consider our outlook and the performance, I expect our team to deliver, I believe that as we execute upon our growth plan, we will be rewarded by investors with a higher share price. This will also come with a mandate to both accelerate our growth plan and participate further in industry consolidation. I believe capitalizing on the organic and strategic growth opportunities ahead will support compounded growth and shareholder value in the coming years. We will be deliberate here, but first things first, of course, we need to deliver on our plan and earn the right from investors to invest more in our business. It is our intention to maintain a healthy balance sheet and prudently invest behind the opportunities we have created, and we will use shareholder value accretion as a critical litmus test for all of our corporate financial strategies. With that said, I want to wrap the call by highlighting our intention to host a second OAS-focused Investor Day, likely in the second half of June. At this event, we want to provide a detailed update on our business plan and financial outlook. As you know, we have made significant progress since our last OAS-focused Investor Day in September 2024. We have advanced and matured our technology platforms, added customers and partners, and increased our pipeline of opportunity. This Investor Day will be a good opportunity to mark-to-market our plan and provide some context on our multiyear outlook and the expanding opportunities set at Ondas. So stay tuned for details. Operator, we will now move to take investor questions.
Operator: [Operator Instructions] The first question is from Maxwell Michaelis with Lake Street Capital Markets.
Maxwell Michaelis: Hey, guys. Thanks for taking my question, and solid quarter, especially there on the drone side. Hey, I want to dig in on the drone side real quick here. When we think about follow-on orders from some of these customers over the past, let's say, a couple of months, we talk follow-on orders here. Are you typically seeing a bump in those follow-on orders in terms of size?
Eric Brock: Yes, Max, so firstly, thank you for the question, and thanks for joining the call. Yes, the initial orders are often pilot programs in nature. We work to install and operate the system. As we do that, we're in parallel making plans for significant expansions, I would say. So that's the model we use. If you go back to last year, you would see similar activity with our initial military customer. Of course, that led to larger sales in the second half. We think even there, we're going to see expansion. So the short answer is yes, these programs have significant upside.
Maxwell Michaelis: Awesome. And then when we look to that NATO customer, the European customer, are you having further discussions with other countries around that area?
Eric Brock: Yes, absolutely. I'll give some context on Europe. There's been a significant shift in policies on defense spending. Of course, that's wrapped up into a larger geopolitical story. We see ourselves as major beneficiaries. I would say specifically as it relates to drone activities and counter-UAS activities, I remind our investors that Europe is really on the doorstep of Ukraine, Russia. The threats we see in Europe are real and they're taken seriously. So they're preparing. So I do expect a significant investment cycle. I think our platforms, and I'll highlight Iron Drone because that's where we're making our initial step, are significantly differentiated and valuable. We're getting a great reception.
Operator: The next question is from Glenn Mattson with Ladenburg.
Glenn Mattson: Hi. Yes, thanks for taking the questions. Good quarter. Nice progress on Iron Drone for sure. Optimus also seems to be doing a little better. You talked about additional growth in 2025 for Optimus, existing and new, including USA. Can you just give us some background and color on what kind of opportunities you're pursuing in that side of the drone business?
Eric Brock: I'd say if you look out into the rest of the year, we do have existing customers that will expand programs. I'll highlight the initial military customer in that program we captured last year, as well, of course, as we're doing in the UAE. We did announce on our March call that we had secured our first customer for Optimus in the United States. We're not able to give details on that just yet, but I do expect us to be able to do so in the coming months. And then beyond that, we're targeting those markets, right? Public safety, it's security, homeland security and defense, and the protection of critical infrastructure assets. And I think I'd leave it at that, Glenn, but it's really a significant opportunity, and we're maturing that pipeline.
Glenn Mattson: Maybe in the U.S., when you're going after public safety or critical infrastructure, what budgetary dollars is that coming from? Is it federal money, or is it state or local?
Eric Brock: It's really both, and it depends on where we're going. So what we're seeing in public safety is there are more and more dollars available for what we call the drone as first responder programs. So, I do see us benefiting from that. What you'll see is that's typically going to be funded by state and local governments. And oftentimes, it's special departments in these organizations that are funding innovation and new technology deployments to modernize infrastructure. And of course, on the federal side, we see quite a bit of that. And we do believe, if you think about, and this is true, certainly in the United States, DoD, homeland security spending, but also globally, that not only are budgets increasing significantly, the mixed shift towards autonomous systems and capabilities that we're bringing to the table is very, very significant. So, the demand and funding environment is improving really every day.
Glenn Mattson: Last one for me, the President is in the Middle East signing a lot of defense-related deals for U.S. defense tech and stuff like that. Is there -- is that -- do you view that as an opportunity for you guys? Ist there way -- you obviously have some Middle East business already, so what's your ability to get yourself into that mix with those talks?
Eric Brock: Yes, I absolutely believe we can be part of those conversations. But I guess I'd have to leave it at that. We do have active marketing efforts in all the major regions of the world.
Operator: The next question is Matthew Galinko with Maxim Group.
Matthew Galinko: Hey, thanks for taking my question, and congrats on the quarter and the progression of orders on the drone side. Can you maybe touch on maybe what the margin profile is of the more recent orders for Iron Drone and what you have in the pipeline?
Eric Brock: Sure. I'm going to defer getting as specific as I think you'd like me to get at this moment. And I say that largely for competitive reasons. You should think of our systems as having both Optimus and Iron Drone margins north of 50%. And I would say that Iron Drone margins are better than Optimus. I'd also add that initial orders, we've got quite a bit of pricing power. But at the same time we're being very deliberate about building a business. So, let me leave it at that, Matt.
Matthew Galinko: Sure. Yes, I appreciate that. Thanks. And then, I don't think it would be a call this year if we didn't talk about tariff risk and if you see any threats to the supply chain as you try to scale production.
Eric Brock: Yes, it's a good question. In the last call when we talked about this, it was still early and a lot's happened. And I said I didn't expect a big impact from tariffs. And that's largely because we're very careful to source away from China. We design our platforms to be NDA compliant. And of course, the focus on China in this trade war has been so acute. I would say, as we sit here today, that the magnitude of the tariffs that have been announced on China was massive. It appears to be less massive given recent reports. However, it's still significant. We also saw Israel get hit with the tariffs. The question that I think we have to ask is, will the supply chain in the U.S. and Europe inflate or deflate as a result? Or put another way, what are the direct or indirect impacts? So, it's really hard to quantify. I do think from Israel, we will see a bit of a bump unless things normalize, which is what I believe will happen. But if they do, if we do stay with a 17% tariff there, we'll probably see some impact. At the same time, we are active. We made this comment today on the call with our plans. We're advancing plans, I would say, to move production in the United States. So, net-net, I think it's too early to say. But I do, I would think that for us, the direct and indirect impacts are going to be manageable.
Operator: The next question is from Mike Latimore with Northland Capital Markets.
Mike Latimore: Good morning. As you look at the pipeline for OAS, how does it roughly break out between expansion opportunities with current customers and new logos?
Eric Brock: There’re significant expansion opportunities with new logos. And that's the case in really the regions of the world that we've identified. So I do expect our core customers to grow with us this year and next year. But then we're going to be layering on new programs, new customers. And that's sort of where we get to that S-curve I've referred to in the past. And by the way, I'll say let me just be very, very clear. None of this is easy. It's not easy at all. But nothing's harder than getting your first customer. And of course, the second customer is not easy. But after that, when you demonstrate performance, you demonstrate leadership and capabilities. And we're hitting this market that is massive today, but unpenetrated because these capabilities like Iron Drone and Optimus are just emerging and scalable. So, I expect a significant new customer program growth in 2025, 2026 and beyond.
Mike Latimore: So, new customers will be a bigger driver than expansions in current customers?
Eric Brock: In 2025, it's going to be both. In 2026, it'll be both as well. I can't get more specific on that, but let me think about that for the Investor Day because we were doing some analysis.
Mike Latimore: Sure. And then the -- I mean, it just sounds like there's kind of broad-based demand here. But in terms of the -- you mentioned the potential for prepayments on some contracts. Can you elaborate a little bit on that? How prevalent might that be?
Eric Brock: I think that's a comment that's more specific to Ondas Networks. But both OAS and Ondas Networks, we do have -- we’ve highlighted before a relationship with Clear that helps fund purchase orders. And so there are some working capital facilities that we can access. So, it's going to be a combination of both.
Mike Latimore: Okay. That's more on the network side. Okay. And then in terms of manufacturing capacity for Optimus and Iron Drone like how many can you build per month presently? And where does that capacity go by year end?
Eric Brock: So, I don't have specifics on the monthly that we can share. And I'll highlight that we're not a low-end or small drone commodity plant, right? We're making higher-end systems. So, what I'll say is that we have ample capacity to hit our plans in Israel. That's largely what I've been talking about OAS, of course. And that's where we're producing the systems today. And then as we're moving through this year, we're going to build the capacity in the United States. So stay tuned on that.
Operator: This concludes our question-and-answer session. I would now like to turn the conference back over to Eric Brock for any closing remarks.
Eric Brock: Okay. Thank you, operator. As we wrap the call, I want to thank you again for spending time with us today. As we outlined, 2025 is off to a great start. And we look forward to providing more updates this year as we execute our growth plan. And, of course, that includes the OAS Investor Day. So, we'll be in touch. And I hope you have a great day. Thanks again.
Operator: The conference is now concluded. Thank you for attending today's presentation. You may now disconnect.